Operator: Ladies and gentlemen, thank you for standing by and welcome to the Ingredion Fourth Quarter 2017 Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session instructions will be given at that time. [Operator Instructions] and as a reminder, this conference is being recorded. I'd now like to turn the conference over to our host Ms. Heather Kos. Please go ahead.
Heather Kos: Good morning and welcome to Ingredion's fourth quarter 2017 earnings call. Joining me on the call this morning are Jim Zallie, our President and Chief Executive Officer; and Jim Gray, our Executive Vice President and Chief Financial Officer. Our results were issued this morning in a press release that can be found on our website, ingredion.com. The slides accompanying this presentation can also be found on the website and were posted a few hours ago for your convenience. As a reminder, our comments within this presentation may contain forward-looking statements. These statements are subject to various risks and uncertainties. Actual results could differ materially from those predicted in the forward-looking statements and Ingredion is under no obligation to update them in the future as, or if, circumstances change. Additional information concerning factors that could cause actual results to differ materially from those discussed during today's conference call or in this morning's press release can be found in the Company's most recently filed Annual Report on Form 10-K and subsequent reports on Forms 10-Q and 8-K. During this call, we will also refer to certain non-GAAP financial measures, including adjusted earnings per share, adjusted operating income, and adjusted effective tax rates, which are reconciled to U.S. GAAP measures in Note 2, Non-GAAP information included in our press release and in today's presentation appendix. Now, I'm pleased to turn the call over to Jim Zallie.
James Zallie: Thanks, Heather, and welcome to everyone joining us today. Before we delve into the quarter I wanted to take a moment to offer my thoughts on the year. For 2017 Ingredion delivered strong growth and ended with records in earnings per share, operating income, adjusted operating income, and adjusted earnings per share. Volumes grew by 3% driven by acquisition related and specialty volumes. In fact, specialties ended the year at 28% of net sales. On the cost side we completed our Brazil and Argentina network optimization and restructurings and we continue to drive continuous improvement initiatives globally. We also continue to deploy our cash for shareholder value creation. We repurchased over 1 million shares during the quarter of 2017 increased our dividend 20% in September and continue to invest in our higher-value specialty production expansion projects. We remain excited about the prospects for growth coming from these investments in the future. Additionally, we acquired the Sun Flour rice ingredients business in March. Further strengthening our capabilities in higher-value specialty ingredient portfolio, our integration of this business along with TIC Gums and Shandong Huanong are well underway. We remain excited about the pipeline of projects and customer demand from new ingredients produced by these businesses as well as the margin expansion potential from synergy opportunities. Now let's spend a moment on each region. Fourth quarter operating income in North America was a $141 million for the quarter up 3% versus last year. Overall volumes were up 3% driven by the TIC Gums acquisition. Mexico core volumes were down for the quarter due to brewery customers shipping their production volumes across their networks. Additionally, Mexico results were impacted by higher inflation, slower than anticipated economic growth and a lapping of a 2016 inventory build. For the full-year North America achieved record operating income of $661 million up $51 million from the year ago period. The TIC Gums integration is further enhancing our texture capabilities and enabling us to deliver custom solutions faster to innovative small and medium sized customers. We are pleased with our profit growth as we continue to focus on our trade-up strategy, underpinned by our emphasis on the customer experience. In South America, fourth quarter operating income was $36 million up 24% versus the prior year. Our Brazil and Argentina network optimization and restructurings have made us more cost competitive and are delivering the expected benefits. Volumes were up 3% for the quarter, but net sales were down given the pass through of lower raw material costs in Brazil. For the full-year, operating income was $80 million. We expect the actions we have taken will continue to drive operating excellence and grow specialty sales. Moving to Asia Pacific, the region delivered $24 million of operating income in the fourth quarter in line with last year. Overall volume was up 4% versus the prior year, and specialty sales were particularly strong in China and Southeast Asia. As discussed in past quarters, in Korea price mix was affected by our decision to diversify our core customer mix to repurpose capacity to higher margin sweetener blends. In the short-term, moderate margin compression is expected as we shed some of our HFCS business to make room for new specialty sweetener solutions. As we continue to grow our specialty sweetener, we anticipate higher operational efficiencies and improved price/mix. In Thailand excessive rainfall impacted the tapioca supply which significantly increased raw materials during the quarter. For the full-year, Asia Pacific posted record operating income of $112 million. Our Sun Flour rice ingredients business and Shandong Huanong integrations are going well. The demand for our rice-based ingredients is strong and our Shandong cost synergies are on track for 2018. Finally, the EMEA region reported fourth quarter operating income of $30 million, up 15% from last year. Higher volumes in favorable price/mix drove the increase. For the full-year, EMEA delivered record operating income of $113 million, up $7 million from the year ago period. I am pleased now to turn over the call to Jim Gray, who will spend time on our financials. Jim?
James Gray: Thanks Jim. Good morning, everyone. Let me start by covering the highlights of the income statement. Net sales were up for the quarter. Higher volumes and foreign exchange more than offset lower price/mix. Gross profit was higher by $21 million as a result of margin expansion in South America and EMEA, the inclusion of the TIC Gums business, and specialty ingredient volume growth. Reported and adjusted operating incomes were $203 million and $210 million, respectively. Reported operating income was lower than adjusted operating income by $7 million. This difference is driven by restructuring costs related to a $13 million write-down of certain stevia leaf extraction assets, severance of $2 million, and acquisition and integration costs associated with TIC Gums were $1 million. Offsetting these charges was $9 million from insurance recovery primarily related to capital reconstruction. Our reported and adjusted earnings per share were $1.35 and $1.73 respectively. Besides the reconciling items I just mentioned, reported earnings per share were lower than adjusted earnings, given the enactment of the Tax Cuts and Jobs Act in December 2017 which resulted in a one-time estimated charge of $23 million in the fourth quarter. The estimated charge includes the transition tax on accumulated earnings overseas and foreign taxes on a portion of our unremitted earnings, partially offset by the remeasurement of net deferred tax liabilities. Moving on to the net sales bridge, our sales were up versus last year. FX contributed $12 million, while volume contributed $42 million. This was partially offset by $16 million of unfavorable price/mix, which was largely driven by the pass-through of lower raw material costs in Brazil. As we look more closely by region, you can see unfavorable foreign exchange affected South America, but was offset by favorable foreign exchange in Asia Pacific and EMEA. Volumes were up in all four regions. In North America, volume was up, driven by our TIC Gums acquisition. In Asia Pacific, volume was up, given our specialty capacity expansions. However, price/mix was down due to our decision to diversify our core Korea customer mix. In South America, price/mix was down, driven by the pass-through of lower raw material costs. EMEA was strong in volume and price/mix driven by specialty and core ingredient growth. For the quarter, reported operating income increase $14 million, while adjusted operating income increased $16 million. North America operating income increased due to acquisition related volumes and effective pass-through changes in raw material costs, partially offset by higher operating costs in Mexico. South America operating income was driven. It was up driven by volume growth in our more competitive cost structure from network optimization and restructuring. Asia Pacific was flat given that volume growth was offset by higher tapioca costs, which spiked during the quarter given supply shortfall. Given the magnitude of the tapioca crop shortfall and relative strength of the Thai baht during the quarter, we expect a price recovery lag of six to nine months. EMEA was up $4 million driven by volume growth and favorable price mix, corporate costs were lower by $1 million for the quarter, given smart cost discipline and timing of expenses. We will wrap up the discussion of the quarter with the earnings per share. On the left side of the page, you can see the reconciliation from reported to adjusted. On the right side, operationally, we saw an improvement of $0.15 per share primarily the result of volume due to acquisition and specialty related ingredients with a lesser benefit from foreign exchange. This was partially offset by a margin of minus $0.03 per share primarily driven by higher operating costs in Mexico as well as the increase of tapioca costs in Asia Pacific. Moving to our non-operational items we recognized a decrease of $0.09 per share for the quarter. Adjusted taxes were minus $0.13 per share, largely driven by decrease foreign tax credits in 2017 as compared to the year-ago period. The higher tax rate was partially offset by a $0.02 per share benefit from fewer shares outstanding and $0.02 per share benefit from lower financing costs. Turning to our full-year figures, net sales were up 2%. Higher volumes in foreign exchange more than offset lower price mix. Gross profit was higher by $71 million as a result of margin expansion in North America and higher volumes from the inclusion of the TIC Gums business and organic growth and specialty ingredients globally. Reported and adjusted operating incomes were $842 million and $884 million respectively. Reported operating income was lower than adjusted operating income by $42 million. This difference is largely related to pre-tax restructuring charges of $17 million in Argentina for employee severance as we took action to improve efficiency and lower our operating costs, a $13 million write-down for certain stevia leaf extraction assets, $6 million for our finance transformation initiative and $2 millions of other severance. Additionally, we had pre-tax expense of $13 million for integration and acquisition costs, including the fair value mark of acquired TIC Gums inventory. This was partially offset by the $9 million of insurance recovery, I talked about earlier. Our reported and adjusted earnings per share were $7.06 and $7.70 respectively. Moving on to the net sales bridge, our full-year sales were up versus last year. FX contributed $49 million. Furthermore, volume was the biggest driver and contributed one $165 million. This was partially offset by $86 million of price mix. Our price mix was largely driven by a pass-through of our raw material costs. As we look more closely by region, you can see foreign exchange was flat to favorable in all four regions. Volumes were up in North America, Asia Pacific and EMEA. In North America volume was up driven by a TIC Gums acquisition and Asia Pacific volume was up given our specialty capacity expansions. Price mix was down 2% largely driven by the pass-through of lower raw material costs in three of our four regions and the diversification of our core customer mix in Korea. For the year, reported operating income increase $34 million, while adjusted operating income increased $54 million. North America posted a strong result in a margin expansion driven by operational efficiencies and growth in acquisition and specialty related ingredients. South America operating income decreased by $9 million, the decrease was largely a result of Argentina's difficult macroeconomic conditions and the strike in Argentina and resulting temporary higher costs during the first half of this year. Asia Pacific and EMEA were up $1 million and $7 million respectively. Corporate costs were lower, given expense timing and smart cost discipline. Moving to earnings per share, operations drove an improvement of $0.52 per share, primarily the result of volume of $0.48 per share with a lesser benefit from foreign exchange of $0.12 and $0.03 per share of other income. This was partially offset by a margin impact of minus $0.11 per share. The lower margins were largely caused by South America with Argentina's difficult macroeconomic conditions and temporary higher costs during the first half of the year. Moving to our non-operational changes, we recognized a benefit of $0.05 per share. Our adjusted tax rate was lower, contributing $0.08 per share benefit driven by appreciation of the Mexican peso during the year and the result in valuation of U.S. dollar denominated balances in Mexico and a lower valuation allowance on the net deferred tax assets of a foreign subsidiary. Our shares outstanding had a per share benefit of $0.06. These benefits were offset by higher financing costs of minus $0.07 per share due a higher debt balance and higher interest rates. Moving to cash flow, our full-year cash flow provided by operations was $769 million. During the year, we deployed cash in the form of capital expenditures, dividends, share repurchases and acquisitions. Our full-year capital expenditures of $306 million were up $23 million from last year, primarily driven by growth and cost savings initiatives. I'd like to note that our full-year working capital was impacted by the timing associated with the U.S. Canada tax settlement. If you recall during the third quarter, we paid the U.S. $63 million, but do not anticipate receiving the offsetting payment of $45 million from the Canadian rebate until 2018. Turning to our guidance, we anticipate 2018 adjusted earnings per share in the range of $8.10 to $8.50. This includes the estimate benefit of tax reform of approximately one percentage point of ETR. Additionally, this guidance excludes acquisition-related integration and restructuring costs, as well as any potential impairment costs. We expect net sales and volumes to be up from 2017 and we expect continued growth in specialty sales. We anticipate that the impact of foreign exchange will be a neutral as we've explained in the past, given our business models, for most regions, foreign exchange is effectively a pass-through. We expect operating expenses including corporate expenses to be up year-over-year due to continued investments in innovation through R&D, customer experience and administrative processes to strengthen our capabilities and drive future efficiencies. We expect financing costs for the year to be in the range of $72 million to $77 million due to higher interest rates on our floating rate debt and our refinanced maturities. Our adjusted effective annual tax rate is expected to be 27.5% to 29% this reflects of benefit from U.S. tax reform of approximately one percentage point on our globally weighted effective tax rate. We expect total diluted weighted average shares outstanding to be in the range of 73.5 million to 74 million for the year. I want to highlight the new accounting standard update related to presentation of pension expense and its implication to our operating income. In 2017 our net pension expense was about $4 million for the company this includes the service cost of about $10 million offset by $6 million of income net and other components which relates to the expected return on the pension assets. Beginning in 2018 our operating income will reflect only the service costs. While the other components in this case $6 million in income will be classified as other non-operating income. The presentation change will impact regional operating income however there is really no impact on net income or earnings per share. Beginning in the first quarter of 2018 we will reflect the impact of this accounting standards update in our results and will restate prior periods for comparability. Turning to the regional outlook. In North America, we expect net sales to be up. For the full-year, we expect operating income to be above the 2016 level in the low single to mid single-digits with improved product mix and margins is during in the latter half of the year. Additionally, our guidance for Mexico assumes higher operating costs due to general inflation and increased sweetener price competition from U.S. imports. South American net sales are expected to be flat to up versus prior year, volume recovery and favorable price/mix are expected to offset forecasted foreign exchange headwinds, and operating income is expected to be up. In addition, we anticipate positive economic growth in Brazil, and we remain slightly optimistic regarding economic reforms in Argentina, and the impacts on our Southern Cone business. We continue to focus on business performance improvement and expect operating income improvement in the region. Asia Pacific net sales are expected to be up, but operating income growth is not expected until the latter half of the year given tapioca cost headwinds. EMEA should continue to deliver net sales in operating income growth. We expect improved core and specialty volume growth. We continue to monitor the political environment in Pakistan and potential risks to our business. We expect cash from operations in 2018 to be in the range of $830 million to $880 million. We expect to invest between $330 million and $360 million in capital expenditures around the world in 2018 to support growth as well as cost and process improvements. Importantly, we have a proven track record of both reinvesting and returning capital to shareholders through dividends and share repurchases, and we expect to continue this in the future as we concurrently explore M&A opportunities. That brings my comments to a close. Back to Mr. Zallie.
James Zallie: Before we go to the Q&A session, as the new CEO of Ingredion, I am pleased with our performance this year, and I am excited about our future. I believe in our business model, our innovation capabilities, our global footprint, and sophisticated go-to-market model which allows us to create value for our customers and for us to grow. I look forward to future interactions with the investor community as we deliver shareholder value creation. And now, we are glad to take your questions.
Operator: Thank you. [Operator Instructions] We will go to the line of David Driscoll with Citi Research. Please go ahead.
David Driscoll: Great. Thank you and good morning.
James Zallie: Hi David.
James Gray: Good morning, David.
David Driscoll: I apologize. But during the call, I was slightly late. So if this – part of this, you mentioned in your script, but I don't think you probably did, I’d like you to talk a little bit about North America and just the pricing environment here post all the contracting. Anyway, how strong do you still consider the operating environment? And just as much color as we can get here on how pricing has gone and what we expect in 2018?
James Zallie: Sure. I'll take that. This is Jim Zallie. So for U.S. and Canada, David, I would say, we were pleased with contracting. In Mexico, we face increased sweetener price competition, and relative to where domestic sugar was trading and is trading now, we believe where we're positioned right now, really provides tremendous value to our customers. So overall capacity utilizations in the industry remain high, and I would say, again, U.S., Canada we were pleased, but with sweeteners in Mexico it was a little bit price competitive.
David Driscoll: And then on South America, this has just been a long difficult story down there, how optimistic are you in 2018 for a significant turn in possibility of the business. And what I'm just trying to get a sense here guys is, is this still many, many, many years before we see material changes in the profitability of that operation? And any color you can give us to looking at the signpost that will help us understand the direction of that business would be helpful?
James Gray: Yes. David, we indicated previously that we were very pleased with the quarter that we just delivered in South America. It's been a long time coming. We delivered $36 million in operating income for the quarter. And as you know, we have been working to get our cost structure, really, I would say fighting fit. For the last couple years, we have a very strong operator down in South America that is driving operational efficiency, continuous improvement. We've taken actions as you know to restructure our network and the actions that we took last year in Argentina. So really great to see how we're positioned now that we see some green shoots in Brazil that appear to be sustainable going forward probably the second straight quarter that we've seen positivity out of Brazil and in Argentina, again we're very well positioned as that economy continues to recover and we've got a very strong position in Colombia and the Indian region. So I would say we're certainly more optimistic on South America than we have been in recent years. The economies from a political standpoint seem stable for now. There obviously are important elections coming up in Brazil in October. But overall, I would say we're very pleased with the quarter and very pleased overall with where we sit with South America as we head into 2018. So that’s how we kind of characterize South America.
David Driscoll: Jim, that was very helpful. Thank you. I’ll pass it along.
Heather Kos: Thank you.
James Zallie: Thanks, David.
Operator: And next we will go to the line of Farha Aslam with Stephens, Inc. Please go ahead.
Farha Aslam: Hi, good morning.
Heather Kos: Hi, Farha.
James Zallie: Good morning, Farha.
James Gray: Hey, Farha.
Farha Aslam: Your range for 2018 of $8.10s - $8.50s relatively wide, could you share with us kind of what listed $8.10 versus $8.50?
James Gray: Farha, I think on the upside, what we would see is, I think there's always opportunities to kind of fill in some volume in various countries. We would kind of expect kind of at least some raw material and price stability would help us towards the high-end. And then we would probably see kind of less inflation in some of our manufacturing and in our energy costs. I think on the kind of the opposite in the low-end, we're bit cautious about freight rates and diesel costs, particularly and U.S., U.S. Canada. We're also kind of have our eye on oil and it's kind of related impact to the natural gas. And then what would help – what might constrain as a bit is just how that how that – in Asia Pac, how the tapioca root shortfall plays out. If that has kind of continued shortfalls in terms of root supply, the raw material costs will be higher. You may have some kind of intermittency in terms of your production which can always impact you on your manufacturing costs. And then you were a little bit watchful around just some of the corn prices that we've seen around the world and then I would probably say finally just on the side of Mexico we've kind of noted around the pricing competitiveness that we saw here at the beginning of the year. What we really want to do is just manage through things the grind the production and kind of all of our costs. And to the extent that we do that well then we'll be kind of in the center of where we're at, but there's just a little greater variability I think introduced and what we're seeing going into the year in Mexico.
Farha Aslam: Awful and could you share with us your key start initiatives for the year and kind of what you expect the product mix improvement to be in 2018?
James Zallie: Yes, let me take that. I think that as it relates to our specialty starch focus, it really is centered around breath and depth of the portfolio that we have. So breath across various starch types, so that would be corn tapioca, potato, rice and variations thereof, okay, so from a standpoint of that portfolio. And the clean label initiative with our franchise products of innovation continued to grow well. We continue to expand functionalities for those products. And so for wholesome clean label and a whole area of texturization whereas food formulations get reformulated and they are optimized for say health and wellness, it's very important to build back texture for overall taste and texture. And so under that clean label wholesome umbrella, our starch texturization program along with the TIC Gums acquisition as it relates to more complete formulations is a big drive. Then in addition from a product focus standpoint our potato starches which we acquired with Penford acquisition a couple years ago continues to do well because it provides different functionalities in certain applications like snacks and meats and cheese. And then also we're very optimistic I would say on the prospects for our rice starch acquisition from Banglen just this past year. And year-on-year we are anticipating very healthy growth from that rice portfolio not just in Asia Pacific but also in the EMEA as well as in North America.
Farha Aslam: So the – pretend that's going to be specialty starch in terms of targets?
James Zallie: Well, what I would say is that our specialty sales are 28% as you know that hit a recent high and we don't actually breakout the percentage of our sales that will be dedicated to specialty starches per se.
Farha Aslam: And your target of that 28% where do you anticipate that level of specialty sales to go?
James Gray: Well, I mean we would – again we'd be more back kind of Analyst Day right where we kind of see that in the mid-30% kind of five years out. So we just kind of continue along that track. So we don't really advertise kind of a future annual target we put out there more of horizon view of where we're going. But I just – I added to Jim says we do have assets are they're kind of continuing to ramp up in their capacity so and you mentioned Banglen and Thailand but we also have other specialties assets we've invested in Thailand and China as well as the U.S. and Brazil that we have coming online that continue to show that we're investing ahead of the specialty starch growth with capacities that enable us to continue compete there.
Farha Aslam: Okay. Thank you.
James Zallie: Sure.
Operator: Thank you. And next we will go to the line of Ken Zaslow with BMO Capital Markets.
Kenneth Zaslow: Hi, good morning, everyone.
James Zallie: Hi, Ken.
Heather Kos: Hi, Ken.
Kenneth Zaslow: A couple questions one is what I think about North America you're looking for volumes and pricing to go higher in 2018, but this year assumes to be somewhat lower? What this the change that you think a reacceleration of topline growth in North America?
James Zallie: Jim you want to that?
James Gray: Sure. I think within well overall within that sales what we're seeing is that the – I think part of the obviously the specialty products we continue to see those growing both in U.S. Canada as well as in Mexico. So that impacts kind of positive price mix assuming that kind of corn costs are constant throughout the year. And then what we're also seeing is that our utilizations are pretty good as we look at the plan so I would say the kind of the rest of the product lines are at least going to be kind of flattish to slightly up.
James Zallie: Yes, and I just would like to add that I think Mexico has done extremely well for us obviously in you know recently. Mexico economy little bit soft and inflation one of the things that people perhaps are not familiar with inflation at the end of 2017 in Mexico hit a 16-year at 6.77%. So that has impacted our cost structure and so that there's been a energy change regulation in Mexico as well and so I would say – in the main I would say it's more of a Mexican issue as it relates to the overall North America results that you're referring to. I think U.S. Canada continues to do well for us.
Kenneth Zaslow: And then just to be clear the 2018 outlook there is no incremental acquisitions that that's internal growth that you're looking at you're talking about?
James Zallie: That's correct.
Kenneth Zaslow: And then what is the magnitude of impact from free diesel and nat gas that you're thinking about in 2018? No, no magnitude I'm not looking for an exact but these material headwinds I don't know I mean I know you guys don't give exact numbers, but high, low, medium some sort of the context to how we can think about the relative headwinds from those three issues?
James Zallie: Two things on overall and the energy complex. I mean, I think what we would see is that, generally the inflation rates are kind of more low single to mid single-digit, right. With regard to different regions, we are kind of more or less exposed to nat gas. Where we have nat gas in our energy complex, we hatch. So relatively, we’ve taken positions in the U.S., we’ve taken positions in Mexico against our nat gas. So we’ve mitigated a little bit of that where we have a little bit of volatility in the up or down is going to be on freight, what our carriers are seeing in terms of their change in diesel costs and whether or not that gets passed through to us and we then subsequently have other customer pickup or we pass it through the customers. So just there is a little bit more volatility given both the constrain on drivers, but also in terms of where diesel might go given what we’ve seen in kind of cost per oil per barrel.
Kenneth Zaslow: And then my last question is you mentioned of corn. That's somewhat surprising to me that that you would – because I know it's been several years since we've had any corn inflation of any significance. But my recollection is that the majority of your corn pricing is outside the U.S. pass-through within a 30 to 60-day basis, and then in the U.S. you are locking in contracts. So to what extent are you truly concerned about corn? Or is this kind of a red herring?
James Zallie: Yes. Hey, Ken. Let’s just clarify though; we have tapioca root cost inflation. We're in Asia Pacific, I don’t know if – just clarify, did you say corn.
Kenneth Zaslow: Yes. I said corn, I thought you mentioned corn. In one of the answers to question that you were – on the upside, downside is – that you are – I mean, I could have misunderstood it, which is what I would hope as I said.
James Zallie: No, I don’t think so.
Kenneth Zaslow: Okay. So the price of corn is not an issue at all in your outlook one way or the other way?
James Zallie: No, no. As we continue into our business model, right, we look at what the gross cost for the corn and we look at the other strains that come off of the corn, and we look at that over is the layout of the year, and other countries besides U.S., Canada we price through on kind of a three-month to six-month basis. In U.S., and Canada, and Mexico, we have kind of different types of contracts that usually pass through.
Kenneth Zaslow: Perfect. That’s what I expedite. Thank you very much.
James Zallie: Okay.
Operator: Thank you. And next we will go to the line of Akshay Jagdale with Jefferies LLC.
Akshay Jagdale: Hi. Good morning. Thanks for taking the question. So Jim, maybe my first question is, if I could ask you to just sort of look back a little bit at 2017 and maybe give us a little – relative to what could have happened on the upside case. Can you just remind us some of the issues, the bigger issues that that impacted you I mean from what I remember. You had the South America recovery, obviously, was a little bit more back half weighted, you had some issues in the first half that probably weren’t planned, and then you've had some issues in Mexico, and now also in Asia that you've absorbed right? That's what I remember, but it seems like those are relatively large issues that you have navigated through and still deliver on your algorithm, but the reason I'm asking that is I think a lot of that is coming back in 2018 and beyond, so if you could just help me with that and then I have a follow-up.
James Gray: This is Jim Gray. Akshay, maybe I'll take the lead. I think when we looked and we started 2017, we were clearly looking at South America and we were unsure about the economic recovery within Brazil, and also we were still facing kind of fairly high inflation rates in Argentina, Southern Cone. As we took actions in the first half in Argentina, the combination of the strike how we tried to serve our customers as well as the economics, the economic conditions through their winter, I think led to a slower capture back of our customers than we would have kind of expected or planned for. So that added to a little bit of a kind of a one-time impact to South America, particularly in Southern Cone. I think as we moved to 2018 outlook, while we have seen Macri's tenure strengthen in Argentina, which gives us slight optimism. We've seen some still some ups and downs in Brazil, but clearly there's the stronger economic growth in Brazil, which were excited about and I think well positioned for. So I think we’re much more optimistic about South America going in relative to maybe some of the uncertainties we had at the beginning in 2017. With regard to Mexico, we’re going into 2017 just to remind you what we were doing was as we had a capacity expansion that was coming online in Q2 and we had built some inventories in Q4 2016 to serve our customers on those contracts in that first third of the year. And then as this suspension agreement kind of impact and I think there was a little bit of uncertainty as where there would be supply of high fructose imports, I think that created some ups and downs in volume within Mexico. We also had a shift in our brewery customers, and so there was just a little bit more of kind of new stimulus that impacted kind of where our volume was going in Mexico. I think that that's clear as we go into 2018 and in the different type of pressure that we face in 2018, which is really around kind of sweetener pricing competitiveness. And there's a little bit of the inflation in some of the peso devaluation. It impacted the consumers. It’s impacted some energy costs. So we're going to – we're digest that cost inflation as we go into 2018 within Mexico. Asia, I would say our outlook was fairly – I mean I think we were pretty excited about Asia Pac. I think we did have the opportunity to look at Korea and rebalance that and one of the key customers there. And that's largely I think behind us. We're also excited that we have a specialty sweetener investment in Korea comes online more middle of the year of 2018, but that allows us to take our great customer base and move into kind of specialty sweetener blends, which we think are really great for the South Korean market. So we're kind of that's moving and progressing forward, I think the real issue in front of us in Asia Pac is going to be tapioca root shortfall. So I'll just leave it there.
Akshay Jagdale: That's extremely helpful. And then just on the CapEx increase, I think you mentioned it's in – you said U.S. or North America, I may have missed that detail there. Can you give us some color on where you're investing that money and maybe how that connects with the with your specialty strategy in that region?
James Zallie: Yes, Akshay so what I guided towards was a total CapEx number at the upper end of $360 million, which is a step up from 2017. From a finance perspective, the benefits from U.S. tax reform for investing capital in the U.S. are exciting. Maybe I let Jim talk about obviously we're looking at specialty.
James Gray: Right, so that's where obviously we've at the range to $330 million to $360 million for this 2018 year and we're obviously looking at the benefits of the opportunities afforded by the Tax Reform Act for investments in the U.S., but overridingly our global specialties strategy is where our investments are targeted for growth. And so we're obviously looking opportunistically at what the tax reform opportunity can provide for us in the way of equally driving efficiencies and cost savings, but at the same time globally it's really about our specialty strategy. But we have increased our CapEx for 2018 to $330 million to $360 million.
Akshay Jagdale: Right, so if I interpret that correctly, so you're saying because of the tax change, the mix geographically will shift a little bit more to North America. But it's not necessarily all specialty and assigned to a certain project, you've got a mix of things going on, is that…?
James Zallie: I think we're looking – again I think we're looking opportunistically at what the Tax Reform Act provides us in the U.S. for both cost reduction efficiency as well as growth. But then overridingly what's driving our CapEx spend is opportunities for growth with our global specialties focus globally if that helps.
Akshay Jagdale: That helps. I’ll pass it on. Thank you.
Operator: Thank you. And next we will go the line of Brett Hundley wit Vertical Group. Please go ahead.
Brett Hundley: Hi, thank you. Good morning, guys.
James Zallie: Hi, Brett
James Gray: Hey, Brett
Brett Hundley: My first question was just - I just wanted to revisit Mexico you guys brought up the price competitiveness seen during contracting which kind of filters more into your core business there and I wanted to ask your question on specialty in that country. And just get a sense qualitatively for how you're thinking about that into 2018 here. I'm curious if your specialty business gets negatively impacted by some of the other things you talked about which might be inflation or a slowing macro or anything related to that or if you continue to see solid growth in that business. Curious if there's been any added competition in that area in that country just any color you can give on that would be helpful.
James Zallie: Yes, no, thanks for that question because it's something that we have wanted to emphasize in the past in relationship to specifically specialty in Mexico because it is a strategic focus for us and what I would say is actually the very significant position that we have in Mexico with both our core sweetener business as well as our specialty business but that size of the core sweetener business in that position with three manufacturing facilities down there creates tremendous customer relevance and intimacy. And that thus has provided us tremendous opportunities to engage with customers for specialties growth opportunities. So for example we said this in the past when the Mexican government had imposed the obesity tax a few years ago that actually created a lot of reformulation in beverages as well as snacks. And that actually provided opportunities for us to sell or very functional specialty portfolio and specialty ingredients portfolio. And as it relates to the weighting of our overall portfolio the focus very much is on specialties growth. And there are the same health and wellness trends, the same trends that are driving growth in the U.S. Canada that are very relevant in Mexico as well. So it's an area of a lot of focus for us and it's all about the innovation platforms that we are driving globally, but are equally relevant in Mexico as well for specialties.
Brett Hundley: But Jim would you say that your – as you look to 2018 that you're growing your specialty business in Mexico and similarly to 2018 or at a rate that you would like or do you think that it's come down a little bit?
James Zallie: No, I actually think for specialties from a standpoint of the target we're actually have a target to increase specialty sales in Mexico. The issue that we're faced with that I was calling out. So again I really appreciate the question because it's differentiating between core sweeteners which we did indicate that through contracting was – I would say somewhat surprisingly price competitive and so but that's completely a separate issue from the specialties business in the opportunities that affords us and the focus and also the growth projections that we're anticipating for specialties in Mexico. So again thanks for that question.
Brett Hundley: Okay. And then just my second question is M&A related. Just because I mean when you look globally add ingredient valuations they've really gone higher in recent years particularly in Europe. And as I think about the valuation backdrop against what you guys are trying to do from a growth standpoint the pursuit of SMEs, food service customers, things like that. I'm starting to wonder if instead of just acquiring your way into certain customer lists or product categories. Are there partnerships that you can create with other ingredient companies that can leverage you into faster growth? I think about everyone going after those customer areas that I mentioned right now and how formulated solutions have become so important and I know you want to build your toolkit going forward. And so I just wanted to ask you if partnerships are something to come up and if they make sense with that regard?
James Zallie: Yes. I think partnerships for us is something that we've done to a very large degree in our business. We have a partnership as you know as it relates to the distribution right now of a very good tasting stevia Reb M and that is part of our stevia offering, but our go-to-market model globally and how we're positioning with our customers makes us in a very attractive partner, and that's why many companies come to us to want to leverage the sales marketing capabilities in the reach that we have globally. So we're very open minded to partnerships, but at the end of the day as it relates to M&A partnerships, it's all about value creation, it's all about shareholder value creation, and we're going to be very disciplined as it relates to the multiples that you refer to, and if multiples take us to an area that's not going to create value for us, we're going to be very disciplined, and continue to execute on our strategy to create shareholder value, because at the end of the day that's got to be the barometer and that's what we're going to follow very strictly.
Brett Hundley: Okay. Thanks for your thoughts.
James Zallie: Thank you.
Operator: Thank you. And next we will go to the line of Adam Samuelson, Goldman Sachs. Please go ahead.
Adam Samuelson: Yes. Thanks. Good morning, everyone. Maybe first question just on the fourth quarter and thinking about the North American margins a little bit more, the margins were flat year-over-year which is a notable [de-sell] from how they've been trending for well over the past year, and I didn't think you call that organic specialty volume growth in the fourth quarter which is the second quarter. I was just wondering if you can provide a little more context around that. Is it all just the Mexico pressures that we've talked about? Have there been other factors at play on the specialty side? Did that surprise you at all? And really just the North American performance generally was a negative variance versus your forecast in the fourth quarter?
James Gray: Adam, I mean I've got margins relatively flat for North America quarter-over-quarter, so I don't now how you necessarily get into down, maybe we…
Adam Samuelson: Well I said de-sell, right? So you've been trending up more than 100 basis points year-over-year for well over a year. And you were now flat year-over-year in the fourth quarter?
James Gray: Okay. But margins are generally attractive on an operating income margin basis. And then I would just say that what we did see was. There was a difference between Q4 2017, Q4 2016. Q4 2016, we were running our grind a little bit higher anticipation of building some inventory as we’re bringing some customer commitments online in the third of the year of 2017, first half of 2017 as this expansion in Mexico came on. And in Q4 2017, we didn't have to run the grind as much where we don’t have to build that inventory. So you get a little bit less in terms of cost absorption. And on top of that, it is a little bit; I mean I think there was some unique inflation residuals into Q4 from some of the specialty chem or the chemicals that we buy related to kind of what we're getting out of Houston. But other than that I don't think there's anything necessarily pressuring the overall margins that’s unique in Q4.
Adam Samuelson: Okay. And the specialty volumes, I mean where they flat again in the fourth quarter and was that a – I think…
James Gray: I'm not going to comment on that quarterly.
Adam Samuelson: Okay. And then just on 2018, I think the comment was North American profit growth up low to mid single-digits, and it seemed like there was an allusion to maybe a more back half weighted growth outlook there, and maybe a little bit more color if you could on first half versus second half dynamics, the comps, some of the Mexico dynamics and how those layers through the year, corn layout et cetera?
James Gray: Yes. So the comment was definitely related to Asia Pac as we see the tapioca root costs. So that will impact us in Q1 and Q2 and then we’ll see that kind of more recovery in the second half for Asia Pac.
Adam Samuelson: Okay. So nothing about the quarterly layout in North America to call out?
James Gray: I would say that within North America as we look at the Q1 layout that will be I think probably the most challenging only in that we're looking at kind of just how we look at our volume laps in the layout of the corn. Other than that I think we will have a fairly – the lapsing. We don't really comment a quarterly, but I would say a few, I agree that is a little bit of a challenge. It should be the historic lower end of our range.
Adam Samuelson: Okay, that's helpful. I pass it on. Thanks.
Operator: Thank you. And our final question comes from the line of Arthur Reeves of Société Générale. Please go ahead.
Arthur Reeves: Good afternoon – good morning and thanks for taking my question. My first question is about NAFTA. I know we keep talking about this. But can you give me an update please as to how you looking at it now? Have you thoughts progressed? When will it ever come to an end? My second question is, you just picking up really on the tapioca issue. What do you have to do to get back on track after that? Do you have to wait for next year's crop or can you push price increases through? Thanks very much.
James Zallie: Yes, thank you for the question Arthur. So as it relates to NAFTA, we're obviously monitoring the situation like everyone else is and what we believe is taking place right now is that the negotiations have reached a more conventional stage of negotiation and expectation and the current consensus is that the negotiations are going to go longer than had it been anticipated and that they may in fact drag past the July Mexican elections and perhaps even towards the end of this year. I mean that’s currently the kind of consensus view that's forming and that all parties involved are interested in modernizing as opposed to withdrawing necessarily from NAFTA. And that's what we're very hopeful of as well. So at this point in time, I would say that everything is tracking more in a conventional negotiation as opposed to where it was maybe six months ago and that if the negotiations get completed it's going to get completed later this year or likely. And then as it relates to tapioca, we’ve been operating in Thailand and we have three manufacturing facilities that whole process tapioca. So we are I would say very experienced operators in Thailand as it relates to tapioca, and we’ve been through this before. Specifically, the last time this kind of an increase in this period of time taken place was back eight years ago. So we’ve seen a pretty rapid spike in the last four months. And we are passing price increases through very aggressively. Passing those price increases through. And as Jim said, we just anticipating based on the steepness of [indiscernible] little bit the more time then continue that six to nine months to be able to get back to a steady state in Thailand.
Arthur Reeves: Thank you very much.
Operator: Thank you. And we do have some things from the line of Robert Moskow of Credit Suisse. Please go ahead.
Robert Moskow: I guess it's something. But I'm sure everything has been asked operating income expected to be up in South America. If I look at the last four or five years, plans for South America have not played out the way that you expected. Can you talk a little bit Jim and Jim about you know how much the degree of confidence you have to this is the year that you've finally found a bottom in South America and I guess what could go wrong to offset the plan?
James Zallie: Let me start, I think we’re kind of competing to answer this question. So maybe there's a message in that. I think that we are – I'm very confident that we reached the bottom in 2017 as it relates to South America performance. And the team is persevered through obviously some very, very significant macro economic headwinds and conditions and has used it as a means to really get our cost structure, both fixed asset as well as operational costs. As competitive as possible and we also have made and are making significant investments in specialties to work with our customers locally for specialties growth. And so I'm very confident this year that this year we will see based on just how we're positioned in the marketplace with their customers kind of regardless of the normal ups and downs that you see back through economically that based on what I know of the customer related activity that we have, and the anticipations of some business coming our way et cetera that we're feeling pretty good about where we are positioned in South America for 2018. Jim?
James Gray: I just – I mean I just to clarify are, within the first half of 2017, included as a one time expense all related to the strike in a plant being done in Argentina and we incurred about $8 million of onetime costs, which we do not expect to repeat as we go into 2018. Furthermore, we've advertise around $12 million and I would say that that's our run rate of our savings. I think we've realized to me before that in the latter part of the Q3 and some of Q4, so will pick up another $8 million plus million just in terms of run rate savings as we go into 2018. And then on top of that starting point you'll have, I think the benefit of some of the volume growth as the Brazil economy continues to grow I think will really well positioned to capture that growth upside and then we're cautiously optimistic around mockery and Argentina, as well as kind of Colombia's kind of continued growth after implementing a kind of a VAT change in 2017. So just to quantify some numbers for South America that's why we're feeling that there is a base that's been established I think in 2017. And it's going to be better in 2018.
Robert Moskow: Great, thank you guys.
James Zallie: Thanks Ro End of Q&A
Operator: And we have no further questions. Please go ahead.
James Zallie: All right, okay. So before we sign-off, I just wanted to thank you for your time today and I hope to see many of you at the CAGNY Conference, February 20, where we will be sponsoring a luncheon, which will feature our specialty ingredients. So again, thanks for your time today.
Operator: Thank you. And ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T teleconference service. You may now disconnect.